Operator: Thank you all for holding and welcome to the Westwood Holdings Group Q3 2013 Earnings Conference Call. Today’s call will begin with a presentation followed by a question-and-answer session. (Operator instructions.) I would now like to turn the call over to your host for today’s conference Sylvia Fry, Senior Vice President and Chief Compliance Officer. Ms. Fry, your line is now open.
Sylvia Fry: Thank you. Good afternoon and welcome to our Q3 conference call. I’d like to start by reading our forward-looking statements disclaimer. The following discussion will include forward-looking statements. These forward-looking statements are subject to known and unknown risks, uncertainties and other factors which may cause actual results to be materially different from those contemplated by the forward-looking statement. Additional information concerning the factors that could cause such a difference is included in our press release issued earlier today as well as in our Annual Report on Form 10(k) for the year ended December 31, 2012, filed with the Securities and Exchange Commission. We undertake no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. You are cautioned not to place undue reliance on forward-looking statements. In addition, in accordance with SEC rules concerning non-GAAP financial measures the reconciliation of our economic earnings and economic earnings per share to the most comparable GAAP measures is included at the end of our press release issued earlier today. On the call today we will have Brian Casey, our President and Chief Executive Officer, and Mark Wallace, our Chief Financial Officer. I will now turn the call over to Brian, our CEO.
Brian Casey: Thanks, Sylvia, and good afternoon everyone. Thanks for taking time to join our earnings call today. We’re very pleased with our Q3 financial results. Assets under management have grown to a record $17.1 billion, an increase of 21% compared to Q3 2012, while Westwood International assets surpassed $2.0 billion. Our balance sheet is strong, and today our Board approved a 10% increase in our quarterly dividend. Dividends declared to shareholders since becoming a public company have now exceeded $100 million. We’re excited about what these numbers represent both in terms of the health of the company and the commitment we have to our shareholders. Westwood’s domestic clients realized another quarter of strong absolute and relative returns. Our SmallCap product with a gain of over 11% ranked in the top decile for the quarter and remained solidly in the top decile year-to-date, outperforming the Russell 2000 Value Index by over 1200 basis points. Our SMidCap product also posted positive results, ranking in the top quartile of this peer group and is now ahead of its benchmark for the year. LargeCap and all cap strategies built on the strong performance registered in Q2 by outperforming their respective benchmarks again in Q3. However, active managers in general performed well in these categories and Westwood has lagged our peers in a strongly positive market. We’re encouraged that the MLP strategy is starting to gain traction. The decision to launch a comingled fund in the beginning of the year for qualified plans has proven fruitful as we have attracted a number of small allocations from public pension fund clients in Texas and Florida. We continue to research product development opportunities in this space for both institutions and retail investors. We’re actively participating in additional public funds searches and anticipate the opportunities that will continue to expand as the MLP asset class gains acceptance from institutions. The Income Opportunity strategy has continued to perform well and is garnering interest from a broader range of consultants. The lack of interest in our SmallCap Value product has been surprising. We’ve achieved exceptional performance over the last few years but have seen very little in the way of search activity. It appears that our active manager competition has also done well during this period as the Russell 2000 Value Index is in the bottom quartile for the past several years. We on the other hand will complete a ten-year record for SmallCap in December and we’re out telling our story wherever we can. Our feeling is that it is more a matter of when, not if, in terms of building assets in this strategy. Overall asset flows were positive for the quarter with gross sales numbers exceeding $1 billion. These assets came through three strategies: Emerging Markets, Income Opportunity, and to a lesser extent MLP. Demand for our Emerging Markets and Global strategies made for a particularly busy summer for Westwood International Advisors. Assets exceeded $2 billion, up 129% from year-end. To ensure that our portfolios represented our very best ideas our team members travelled extensively to visit with over 200 companies from around the world. Changes were made to the portfolios where attractive, new long-term opportunities were discovered. Despite the market challenges and the intense level of team activity, we continued to attract further new business in the quarter and built an attractive funding pipeline for the remainder of the year. WIA added two experienced professionals to the team, one in Operations and one on the Investment Team to cover utilities and real estate. The WIA team is now complete and has moved into a larger space to accommodate their growth. The team is very focused on performance and excited about the prospects for the year ahead. Emerging markets sales were boosted by the launch of our UCITS Fund. The UCITS platform will assist the firm in increasing our non-US business over multiple strategies. As of September 30, the assets under management in the UCITS Fund were $381 million. We anticipate $150 million in new funds coming from a UK pension plan as well as $25 million in new funds from a Canadian pension plan in the next few months. In addition we are in dialog with several European clients who have expressed an interest in the UCITS emerging markets strategy. After recent discussions with institutional investors and distributors in Europe we’ve determined that some of our domestic strategies may be of interest and could be launched successfully as new UCITS sub-funds. The Westwood Funds family here in the US now comprised of ten funds recorded quarterly net inflows exceeding $193 million with overall assets reaching $2.4 billion, up 48% since year-end. The Income Opportunity Fund which year-to-date ranks in the top decile of its Morningstar and Lipper categories led the way. Our SmallCap Value Fund also ranks in the top decile for one and three years in Morningstar and subsequently has been upgraded to four stars. We’re hearing some anecdotal recognition of the fund’s performance and are therefore hopeful that the fund will pick up additional assets as advisors seek top-performing small cap funds for their clients. In regards to our sub advisory business, Principal Financial has concluded the LargeCap Value Fund we co-manage in their Lifetime Target Date Funds which resulted in a new cash flow of $155 million during Q3 with an additional flow expected later this quarter. Westwood Trust continues to experience asset growth well in excess of market appreciation with contributions from both the Dallas and Omaha offices. Investment portfolios were rebalanced recently back to targets in order to reduce risk and accommodate the introduction of an international fixed income strategy sub-advised by Brandywine Global. While appreciative of double-digit, enhanced balance year-to-date returns clients remain cautious in light of the many fiscal uncertainties in Washington. This complacency is hampering new business development activities as potential clients adopt a wait-and-see attitude before considering changing managers. Despite this we continue to work hard to create opportunities. For example, Westwood Trust team member Gregg Ballew’s extensive referral network revealed an opportunity with a local nonprofit that was preparing to conduct a search for a new manager. Westwood Trust made the final cut as a dark horse candidate competing against two large, national investment banks. At a preliminary meeting with the Investment Committee concerns were raised about working with a local trust company but we were invited as one of two finalists to present to the full Board. Gregg assembled a team of four to specifically address the Committee’s concerns and customize a presentation that was so well received we moved from the dark horse to the winner’s circle. The account will fund in Q4 and is a great example of how hard work creates opportunity. In the years ahead we hope to expand our company both through the creation of innovative and in-demand products and with the acquisition of private wealth companies in strong geographic areas. Attractive private wealth opportunities that fit well with our culture and business model are a challenge to find and may be slow to develop into merger opportunities, but nevertheless we feel that we’re an ideal partner for business owners that want to join a company with a strong brand name, liquidity in a publicly traded stock, and an entrepreneurial culture that respects the desire of private wealth managers to do what they do best – namely serve clients and attract new ones. We’re always looking for ways to improve our model but we remain convinced of its current value and profitability. We thus continue to remain patient in locating opportunities to grow our company in the future while always mindful of using our corporate capital in a shareholder-friendly way. Our strong Q3 performance continues to reinforce the optimism and enthusiasm we have been building over the last few years. If you’ve been a long-term shareholder we would like to thank you for your confidence, and if you’re a new or prospective shareholder we welcome you to get to know us better. We’re available to meet with you anytime your travels take you to Dallas or we can arrange a conference call at your convenience. I’ll now turn the call over to Mark Wallace and remain on the line to answer your questions at the conclusion of Mark’s remarks.
Mark Wallace: Thanks, Brian, and good afternoon everyone. We reported another strong quarter today with revenue up 21% to $23 million compared to $19 million in Q3 last year. Year-over-year asset base advisory fees were up 24% to $18 million with trust fees up 26% to $4.7 million. On a sequential quarter basis asset base advisory fees were up 9% while trust fees were 2% higher. Revenues this quarter were driven by over $554 million of firm-wide net inflows principally into our Income Opportunity, MLP and Emerging Market strategies as well as a strengthened US Equity Markets. We had positive net inflows this quarter across all segments with $319 million in institutional accounts, $41 million in private wealth, and $194 million in our mutual funds. Institutional assets under management are now just under $11.0 billion; private wealth now stands at $3.8 billion and mutual funds at $2.4 billion. We encourage you to review the information posted on our website today regarding longer-term trends that reflect a compounded annual growth rate over the past five years exceeding 15% in assets under management, and exceeding 17% in recurring fee revenue. With Westwood International net inflows this year exceeding $1.2 billion our Canadian operations are now profitably contributing to our financial results. We expect Westwood International’s contribution to continue to expand as our Emerging Market strategies attract additional inflows. In Q3 Westwood International contributed $2.7 million to revenues on $2.4 million of related costs. On a consolidated basis, economic EPS of $0.97 was 28% higher than the $0.76 we reported in the same quarter of last year; while GAAP EPS was up 68% to $0.57 per diluted share versus $0.34 last year. We continued to maintain a strong and liquid balance sheet with over $67 million in cash and investments and no long-term debt, which allows us to invest in our business and provide an attractive current yield to our shareholders. With that in mind today our Board of Directors approved an increase of our quarterly dividend to $0.44 per share payable on January 2, 2014, to stockholders of record on December 13 of this year. That quarterly dividend represents a 10% increase from previous levels to an annual rate of $1.76 and a dividend yield of just under 3.5% based on yesterday’s closing stock price. In closing we are very pleased with our results and think the company’s well positioned to continue delivering value for our shareholders. And with that I’ll turn the call back over to Brian.
Brian Casey: Thanks, Mark, great job. (Operator instructions). Operator, do we have any questions?
Operator: We have a question from the line of Mac Sykes from Gabelli & Company. Your question, please?
Mac Sykes – Gabelli & Company: Evening, gentlemen, and thank you for taking my questions. Brian, the international acquisition continues to show great progress so congratulations there, but when you think about the trajectory of that piece against a better market backdrop, emerging scale in some time under the WHG brand, should we think about an acceleration from here or maybe just steady progress? I guess any additional color would be great on that.
Brian Casey: Sure, well as you can imagine the progress has been terrific and you know, the great thing about emerging markets is that the demand is high from institutions and there’s a limited supply of good managers. So we continue to see a lot of interest in the strategy. We have a very nice pipeline of prospects and I expect it will continue to grow. Whether it grows as quickly as it has in the last year and a quarter only time will tell. There’s a couple of other strategies that are germinating over there – Global Equity and Global Dividend – that I expect will have a lot of capacity and should be very attractive, but we’re going to have to show the world a good track record in order to be competitive against others in searches.
Mac Sykes – Gabelli & Company: And then you’ve made great progress in broadening distribution venues. For 2014 and beyond could you perhaps rank the opportunity channel set you see for the firm?
Brian Casey: I would just say we continue to have as our home base the institutional consulting world, and we’ve hired a couple of people in the last year one of whom came to us from Calamos – Martin Coughlan who is a very talented and experienced guy. And he’s getting us into some areas that we have not ever been in before. He has a lot of connections in Europe and around the world. So I would say that institutional consulting is still home base but it’s delivered us into other areas like the UCITS Fund which could open up additional avenues for us in our domestic products. As I indicated in my remarks there’s an appetite for SmallCap, there’s an appetite for Income Opportunity in Europe and in the UK, and we’re learning more and more about markets around the world. I may have mentioned in the last quarter’s earnings release that we have our first client in Australia, and Australia’s a fascinating country in that they really got their act together a long time ago and have been actually growing their assets in their pension systems for 25 years. And that is a very fertile market and we’re learning a lot more about it, and in fact Martin and Gerald Loo from WIA are going to travel to Australia here in a couple of weeks and see what they can find. So I’m really excited about it. Our mutual fund business has taken off. It certainly helps when you have a five-star fund like the Westwood Income Opportunity Fund. The SmallCap Fund is currently four stars and if they continue to perform like they have been we’re very close to being five stars in the way that Morningstar does their calculations. So we have high hopes for that. And then as I said, MLP is starting to gain traction in the institutional space which would be great for us. We’ve got a record that is long or longer than just about anybody out there and we’re going to get our shot there. So I don’t know if I can rank them but I’d say that I’m really excited about our mutual fund business, our UCITS business and our core institutional business. The trust company is a wonderful asset and it’s one that grows one customer at a time, but when you get that customer you’ve taken them from somebody else and they’re generally not going to leave – certainly not for a long time, maybe ever. I just took a client out for her 85th birthday who’s been a client for thirty years. So you know, those kinds of relationships become very long and very personal and you know, one that’s very hard for somebody else to take away from you. So the trust business is a slower-growth business but it’s a wonderful asset.
Mac Sykes – Gabelli & Company: Great, thank you very much, Brian.
Brian Casey: You’re welcome, thank you! Operator, do we have any other questions?
Operator: I’m not showing any further questions in the queue at this time.
Brian Casey: Very good. Well we appreciate you spending time with us today. If you have any further questions please call either me or Mark Wallace, or visit our website at www.westwoodgroup.com. Have a great afternoon!